Operator: And welcome to Xcel Energy’s Fourth Quarter 2005 Earnings Release Conference Call. With me today is Benjamin Fowke, Vice President and CFO of Xcel Energy. Some of the comments that will be made contain forward-looking information, significant factors that could cause results to differ from those anticipated are described in our earnings release in Xcel Energy filings with the Securities and Exchange commission. I will turn the call over to Ben.
Benjamin Fowke, Vice President and CFO: Thanks Dick, and welcome everyone. Xcel Energy recorded earnings from continuing operations of $1.20 per share for 2005, which was within our guidance range. This compares to $1.26 per share for 2004. Total earnings for 2005 were $1.23 per share compared with $0.87 per share for 2004. In 2005, we recorded earnings of $0.03 per share from discontinued operations, largely due to the final resolution of tax benefits associated with our divestiture of NRG. As a reminder, we recorded a loss of $0.39 per share in 2004 largely due to an asset impairment charge related to our Seren investments and a loss from the sale of Cheyenne Light Fuel and Power. Rest of my comments will be related to earnings from continuing operations. At the core of our company, we have our utility subsidiaries, which provided earnings of $1.27 per share for 2005 compared with $1.32 per share for 2004. Our utility earnings declined by $0.05 per share despite higher electric utility margins that increased earnings by $0.23 per share. The higher margins were offset by higher utility O&M expenses which decreased earnings by $0.12 per share, higher depreciation expense which decreased earnings by $0.09 per share, lower short-term wholesale margins which decreased earnings by $0.03 per share and a higher effective tax rate and other items which netted to decrease earnings by about $0.04 per share. Our holding company cost and results of other non-regulated companies reduced earnings by approximately $0.07 per share for 2005, which was comparable to a loss of $0.06 per share recorded last year. These costs are largely financing costs of the holding company. That summarizes our 2005 results, now lets look into the details. Our base electric utility margins increased by $163 million or $0.23 per share for 2005, largely driven by warm summer temperatures and sales growth. In 2005, we benefited from summer temperatures that were warmer than normal and significantly warmer than last year, which increased electric sales. As a result, favorable weather increased electric utility margins by $75 million. In addition to favorable weather conditions, weather-adjusted retail electric sales grew at 1.4% increasing electric margin by $42 million. Our electric margins also improved because we have lower accruals for customer refunds under the various quality of service programs and for refunds related to the SPS fuel reconciliation issue. The Texas commission approved our fuel reconciliation settlement in December. As a point of reference, we accrued $25 million for the SPS fuel reconciliation in 2004 compared with $4 million in 2005. For more information on electric margins please refer to our earnings release. Our short-term wholesale margins declined by $25 million in 2005. The decline in margins was actually less than we anticipated driven by strong prices particularly in the fourth quarter. In the fourth quarter, we saw increased market demand causing more off-peak periods that have natural gas on the margin. Therefore increases in gas commodity costs translated into both on and off-peak increased energy prices. Additionally, the warmer than expected temperatures at the end of December resulted in lower native load volumes facilitating additional surplus sales opportunity. Despite strong fourth quarter results, our 2006 guidance reflects projected short-term margins of $30 million to $50 million, which is a decline from the $86 million we’ve recorded in 2005. The anticipated decline is due to decreased opportunities resulting from the MISO Centralized Dispatch Market, normal retail customer demand growth reducing our surplus generation available for market sales and a reduction in the availability of our coal-fired resources due to work on the King Plant as part of the Merck project. In addition, as part of the Minnesota Electric Rate Case, we are proposing a short-term wholesale margin sharing mechanism to share risks and incentives more equally between customers and shareholders. Our overall earnings guidance reflects the sharing of short-term wholesale margins. Turning to operating expenses, our 2005 O&M expenses increased $87 million or 5.55% largely driven by higher benefit cost, increases in bad debt expense and higher nuclear outage cost. When we established our 2005 guidance, we expected that O&M expenses would increase by 2% to 3%, for example, we knew the benefit costs were increasing, we also noticed there would be two nuclear outages in 2005 compared with one in 2004. However, there was some cost pressures we didn’t anticipate. The best example is bad debt expense. In 2005 our bad debt expense was about $48 million, which was greater than anticipated. Quarterly increase was an anomaly due to the change in bankruptcy laws as well as higher fuel prices. During the year, we realized that because of the high fuel price environment as well as other factors we had to increase our focus on our collection and credit process. We made procedural changes to enhance the overall process resulting in adjustments to our accruals. Going forward, these procedural changes along with some changes in management should allow us to better control bad debt expense. In addition to bad debt expense, we had over $20 million of one-time O&M cost which included approximately $10 million for additional maintenance at our power plants driven by the high demands during the summer. $7 million for executive transition cost and $5 million for charitable contributions that help customers pay their heating bills. We recognized that every year includes some one-time expenses, but in 2005 we had more than our share. As a result, we think O&M in 2006 should increase 3% to 4% over 2005 levels. As expected depreciation expense for 2005 was $61 million higher than 2004 level. The increase is due to growth associated with normal system expansion and incremental depreciation for several large projects including the new steam generators of Prairie Island and the new billing systems. We expect recovery of these investments in future rate filings. Our effective tax rate was 25.8% in 2005 compared with 23.7% in 2004. As you might recall, in 2004 we recorded tax benefits of approximately $34 million or $0.08 per share primarily related to the completion of five tax audit cycles which resolved several issues related to prior years. While we recorded some additional tax benefits in 2005, it wasn’t at the level of 2004, as a result, our effective tax rate increased. Well that covers 2005 results. Next, I would like to spend a few minutes on some recent developments. In 2005, we filed several rate cases as part of our regulatory strategy. These rate cases and others that we plan to file in 2006 are some of the building blocks of our earnings growth plan. We continue to make progress on these initiatives, in particular we’ve reached favorable conclusions in the Colorado and Wisconsin cases and are on track with Minnesota Electric Case. In May 2005, PSQ filed for $34 million natural gas rate increase based on ROE of 11%. In December 2005, PSQ and various interveners reached a settlement resolving all the issues in this proceeding. The Colorado commission approved $22 million rate increase based on an ROE of 10.5%. Rates are expected to be in effect in February. In 2005, NSP-Wisconsin requested an electric revenue increase of $58 million and a gas revenue increase of $8 million based on an ROE of 11.9%. In early January, the Wisconsin commission approved an Electric Rate increase of $43.4 million and a natural gas rate increase of $3.9 million. Both were based on an authorized ROE of 11%. While we would have preferred the commission’s grant our requested rate increases in full. We believe that both the Colorado and Wisconsin rate orders were constructive outcomes overall particularly if you consider the high fuel price environment. In November 2005 NSP-Minnesota requested an electric rate increase of $158 million, which represents approximately an 8% increase. This request is based upon an ROE of 11%, a projected equity ratio of almost 52% and projected rate base of $3.2 billion. In December 2005, the Minnesota Commission authorized an interim rate increase of $147 million subject to refund, which went into effect as of January 1st 2006. A final decision is expected in the third quarter. Let me explain, how we will account for the interim rates. Starting in the first quarter, our revenue recognition will include an interim rate increase based on the prorated amount of $147 million authorized level. Prior to each quarter close, we will review whether there was any new evidence that recovery at the interim level was not probable. In the event this situation occurs, we maybe required to recognize an estimated refund of a portion of the interim rate depending on facts and circumstances. Ultimately, there maybe a final revenue “true-up” in the third quarter to reflect the final rate order. Well that’s an update of our regulatory developments. Occasionally, investors will mention that there is regulatory risk associated with the Xcel Energy because of the numerous rate cases that we are filing. Our strategy is to file reasonable rate request designed to provide recovery of legitimate expenses and a return on our utility investments. We believe that our commissions will provide us with reasonable recovery and it’s important to note that our guidance range includes this assumption. Recent constructive results along with past rulings are evidence of reasonable regulatory treatment and it gives us confidence we are pursuing the right strategy. Moving on to other developments, there are two issues related to our company-owned life insurance program, also known as COLI. The first and most significant issue is the actual IRS dispute, the second issue is the potential accounting pronouncement from FASB, which affect accounting recognition but not the actual cash flows. I’ll start with the IRS dispute. There have been no new developments on the legal side in our dispute with the IRS. Litigation is currently proceeding with discovery with the trail to be held sometime in early 2007. Because the decisions reached following that trial can be appealed, it maybe another 2 to 3 years before the litigation is finally concluded. There was a new development in the DOW-IRS-COLI dispute. In 2003, DOW won and COLI lost it against the IRS. The IRS appealed the decision. In January 2006, in a split decision, The Sixth Circuit Court reversed the DOW decision and ruled in favor of the IRS. While, this is a new development, we don’t feel it has much bearing on our case, and let me explain why. We had analyzed the impact of the DOW decision on our pending COLI litigation and concluded that there are significant factual differences. As we said before, we believe the outcome of COLI is very fact specific and we believe our facts are stronger than the facts in the DOW case. The good news about the DOW decision is the majority we affirm that satisfying the 4/7 test (ph) is a safe harbor for interest deductions. The 4/7 test is an objective standard, which we are clearly satisfy. In addition the majority opinion in DOW outlined three indicators that will test the economic substance. These indicators are positive pre-deduction cash flows, mortality gains and the built-up of cash values. The court found that DOW’s COLI plans possess none of these indicators of economic substance. We believe it’s only necessary to possess one of these indicators. Of prime these three indicators of economic substance in Xcel Energy’s COLI case demonstrates that our plans were projected to have sizable pre-deduction cash flows based upon the relevant assumptions on purchase, that our plans presented the opportunity for mortality gains that were not eliminated either retroactively or prospectively, Xcel Energy’s COLI had no provision giving back any mortality gains that it might realize, and that our plans of large cash value increases that were not encumbered by loans during the first 7 years of these policies. We continue to believe our case has strong merits and feel confident about our facts and circumstances. Now let me touch you on the FASB issues. During the last few months the FASB board has had several meetings and made the following decisions. First, the FASB decided to use an asset model approach with a more likely than not reorganization threshold. That means a company can report the tax benefit as long as there is a greater than 50% probability that the company will ultimately prevail in recognizing the tax benefits. Second, FASB also decided on the implementation table, which for us would mean an effective date of 2007. While we will need to review the final interpretation and continue to monitor other COLI developments, at this time we believe we will be able to continue to book the COLI tax benefits on a financial reporting basis and we will not be required to establish any reserves. A change in topic. Earlier this month we closed on the sale of Seren’s Minnesota assets to Charter Communications. Our divestiture of Seren is now complete. Looking at other developments, within our utility operations, in January temperatures were significantly warmer than normal in all of our service territories. Our preliminary analysis indicates that our earnings will be reduced by $0.03 for warmer than normal January weather. While it only represents one month of the year, it is something you should be aware of as you prepare your first quarter estimates. Let me also give you an update on our coal supply situation. As you’re probably aware delivery of coal from the Powder River basin has been disrupted by various factors including deteriorated rail track in Wyoming. Unfortunately recent deliveries have not improved and it doesn’t appear to be a short-term trend. As a result we may need to continue with periodic mitigation strategies to preserve coal inventory at certain plants. The coal situation could potentially put downward pressure on the ECA incentive mechanism in Colorado. Clearly it still early in the year and we will keep you posted on the situation. For the last couple of years we have been accruing from customer refunds in Colorado related to the SETI measurement under the quality of service program known as QSP. In 2005 we accrued approximately $8 million, which represents $13 million accrual for 2005 and $5 million credit to adjust the accruals related to 2004 performance. I am pleased to report that the Colorado Commission recently approved a QSP settlement. As a result, PSQ will not accrue any reliability penalties for 2006 assuming we invest $11 million in incremental capital to improve reliability. We consider this settlement a true win-win for our customers and our shareholders. So with that I wrap things up. Overall in 2005, we made good progress in laying the foundation for future growth. With January under our belt we’ve had some positive developments with the recent decisions in the Wisconsin and Colorado Rate Cases. On the other side of the ledger we had some unseasonably warm weather and continued coal delivery issues. All in all we remain on track to deliver our 2006 earning range guidance of $1.25 to $1.34 per share from continuing operations. That is $1.25 to $1.35 per share, I had misspelled there. So with that let us open it up for questions.
Operator:
Operator Instructions: Your first question is from the line of David Parker, with Robert W. Baird.
Q - David Parker: Hi, good morning everyone. The question is on the Minnesota Rate Cases, is there a potential, or if you comment on the potential for settlement in that case or expect it to develop to the normal course?
A - Benjamin Fowke: Well we are just, I think we are in the discovery process now, so the settlement is always possible, but we do expect if it goes to the normal course that we have a decision, Dave, in the third quarter of this year.
Q - David Parker: Okay, so what you are looking for is probably a pull together, at least make initial rate case filed and then see where it goes from there, is that what we should expect?
A - Benjamin Fowke: Yeah.
Q - David Parker: Okay, and can you quantify, you just talked about the positives on the Colorado customers service thing, what would that be earnings per share kind of positive in ’06 versus ’05?
A - Benjamin Fowke: Well, we have been accruing some pretty significant penalties under the SETI measurements. As I mentioned in my prepared remarks, the accrual for 2005 with $30 million, prior year we had a significant accrual to, I can’t remember the exact, I think it’s $11 million. So, Dave we think that is real positive development, we put steel in the ground, replace cables, fix some things that have been causing the problem, get recovery of that $11 million and not have the penalties accruing. You know - I think its real sign of constructive regulatory treatment.
Q - David Parker: Yeah, I agree. Okay, thank you very much.
Operator: Your next question is from line of Paul Ridzon with Keybanc Capital Mkts/ McDonald.
A - Benjamin Fowke: Hi Paul.
Q – Paul Ridzon: Good morning, how are you?
A - Benjamin Fowke: Good.
Q – Paul Ridzon: Could you kind of quantify the ongoing level of rail disruptions kind of on a percentage of, what you normally would expect to receive?
A - Benjamin Fowke: Yes, since the disruptions started in May of last year, our deliveries have been basically about 80% of what we have nominated. And that trend pretty much has continued, sometimes it’s up, sometimes it’s down throughout the course. And you know, it is frustrating for us, we really thought we would see the deliveries being closer to a 100% of the nomination as we entered the winter season with some significant track repair behind us. But that’s not what’s happening. And as I mentioned, the railroads are telling us that we can expect some more delivery disruptions going forward, potentially.
Q – Paul Ridzon: And kind of where does that leave your stock piles?
A - Benjamin Fowke: On a consolidated basis we are at, we averaged 23 days but there is some significant variance plant to plant, so what we had hoped to see Paul, in this winter season that we would actually be building the coal piles up in the more to the line of the 30-day range with not so much variances plant to plant and that hasn’t happened to date. We continue to work on it, one of the things we did on our end was to lease significant number of brand new aluminum rail cars. They are lighter, they can carry, I think it is 28% more coal than a typical steel rail car that will help, but you know the bottomline is, we need the delivery should be more equal to what we are nominating.
Q – Paul Ridzon: And as you mentioned weather would be milder, is there any besides from regulatory sales, is there any potential offset that you are seeing with free capacity being able to market that in an increasingly gas priced market?
A - Benjamin Fowke: That is a great question, typically it will depend on market conditions. Keep in mind that we have seen some, the gas prices have softened as we entered ’06, but typically if your retail load is lighter than you expected, it does create some opportunities to sell more of your generation into the market. That’s what happened primarily in December of just last year. It created some nice short-term margins for us, but you need out of market condition to cooperate at the same time.
Q – Paul Ridzon: And to what extent are you forced to limit that type of opportunities in the name of creating stock piles?
A - Benjamin Fowke: Well its, I think what you are referring to, if you don’t have as much coal resources, because you are either conserving or in the case what I have mentioned in the remarks, our King plant is being retrofitted as part of the Merck product. If you don’t have coal resources then you potentially can’t take advantage of those opportunities as well as we have in the past.
Q – Paul Ridzon: And then just, in Colorado on the $30 million accrual for SETI, that you expect that to fully go away?
A - Benjamin Fowke: In ’06 we do, yes.
Q – Paul Ridzon: Okay, that is net ’05 earnings?
A – Benjamin Fowke: Yes, it is. That was a net 8 million because we had some adjustments for ’04, but that is the level of the accrual.
Q – Paul Ridzon: Is that pre-tax or after-tax?
A – Benjamin Fowke: That is pre.
Q – Paul Ridzon: Thank you, very much, that’s all my questions.
Operator: Your next question comes from the line of Elizabeth Parrella with Merrill lynch.
Q - Elizabeth Parrella: Thank you. I wanted to ask a little bit about your retail sales, especially the residential sales, in which even on the weather to normalize basis we are pretty weak in 2005, and I know you have mentioned kind of the impact on consumption patterns from higher power prices particularly in Colorado. But wondering if you could just review with us, whether there is some other factors at work and is that something we should expect to continue into ’06?
A – Benjamin Fowke: Well it’s a good question, Elizabeth. We continue to look at it, the sale, we did – you’ve recalled we did bring our sales assumption down in 2005 from our initial guidance, 2006 reflects what we were seeing in 2005, so we are comfortable with that assumption, there might be some conservation going on but we don’t think we are seeing significant demand destruction. What we have done, Elizabeth, is examine some of the fundamental economic indicators, you know housing, startups, unemployment, etc. And it is just a pretty good economy, so with the exception of gas sales that we do think we are seeing demand destruction, we don’t see that trend on the electric side. One of the things to keep in the mind is that we had a pretty warm summer in 2005, it was proceeded by a pretty mild summer in 2004. Sometimes our weather normalization model don’t capture that maybe as well as they should, we are looking at that. We don’t see if see a significant long-term trend, we are not concerned about overall decline in electric sales. But we are going to watch it.
Q - Elizabeth Parrella: And also you mentioned what the bad debt expense number was in 2005, I think it was $48 million? Is it comparable 2004 number?
A – Benjamin Fowke: Yes, we think 2006 bad debt expense will fall off to about $35 million. 2004 was at the $28-29 million level. So we are kind of splitting the difference there, two things to think about, Elizabeth. We will continue to be in a high fuel environment, so we do think bad debt expense, it will continue to be relatively high. But we don’t think we will see bad debt expense at the level of 2005 for two factors. One, that kind of it was a rush we think for some of our customers to get ahead of the new bankruptcy laws. The new ones I guess are more conservative. And the second thing is, internally, we put a lot more focus and attention on our processes and I am confident that’s going to pay some dividend for us in ’06.
Q - Elizabeth Parrella: Okay. And one last question if I may. Do you have the, where operating cash flow and CapEx came in for ’05 and how that might have compared with your projections?
A – Benjamin Fowke: It came in pretty close to our projections, cash from operation on a total basis was $1.2 billion and cash from continuing operation was $1.1 billion. CapEx came in about what we were thinking too, Elizabeth, at $1.3 billion.
Q - Elizabeth Parrella: Okay, thank you.
Operator: Your next question is from the line of Stephen Hsang with Citigroup.
A – Benjamin Fowke: Hi, Steven.
Q - Stephen Hsang: Hi, good morning. Question I had here was on back to the PRD question. With the delays continuingly going on right now, you guys don’t anticipate then based on what you are seeing, that you will be able to get back to that more or less 30 days, kind of above stock pile before summer?
A – Benjamin Fowke: We are going to do everything we can to get back to that 30 days. That’s where we would like to be and we are working very closely with the railroads to get the nominations that we want, but it is an issue for us and that’s why, if we can’t get the deliveries we might have to continue to do some mitigations. That, it follows going 2005.
Q - Stephen Hsang: That reminds me, with the mitigation plan, does that include going into the market and buying purchase power?
A – Benjamin Fowke: It includes that, it includes in some cases switching from coal to gas, we have that ability in some of our plants to do that. It includes changing some of the dispatch orders, so essentially we are not using your coal plants as much as you will, you are using gas plants as an alternative to save coal.
Q - Stephen Hsang: Alright. And the new rate case there, is that more of that federal approved or the like, can you just remind me where can you get trued up on the purchase power, is that all your jurisdiction or are there areas where you still going to eat the cost?
A – Benjamin Fowke: Well, those purchases, are you talking about purchase that we might make for coal mitigation?
Q - Stephen Hsang: Right, for a customer.
A – Benjamin Fowke: Those would be considered energy purchases and they would flow through the fuel cost, I think you are familiar with that fuel cost recovery mechanisms.
Q - Stephen Hsang: Basically, all that really is that your potential all systems sales, which has declined significantly if you were to go back into mitigation for this year?
A – Benjamin Fowke: It could impact that, yes.
Q - Stephen Hsang: Okay. And then the January weather, was just the $0.03 you are talking primarily due to the gas business, right?
A – Benjamin Fowke: It’s gas and some electric. I mean there is, I mean, when you kick on your furnace there is some electric component to that. It’s really been I think I read in the paper here its one that’s Minnesota we are now 160 years, I haven’t lived in Minnesota that long but I don’t think it typically rained in January, and it did in my house couple of nights ago.
Q - Stephen Hsang: And, but you guys aren’t changing your weekend sales forecast because of any of that, I mean I know you have worked in all places?
A – Benjamin Fowke: No, no we are not.
Q - Stephen Hsang: Okay, all right great thank you.
Operator: Once again if you’d like to ask a question please press “*” then your number “1” on your telephone keypad. The next question is from the line of Maura Shaughnessy with MFS.
A – Benjamin Fowke: Hi.
Q – Maura Shaughnessy: Good morning. Just hoping on this coal issue again, I guess we talked about the rails there, incidentally more offbeat than the reality that you guys are portraying, what is the issue since it’s been on the highlight so to speak since last spring. What is the problem that has created the continuation of this theme?
A – Benjamin Fowke: I wish we could get more of some of their offbeatness in the form of coal with relative to our plans and that’s really what we want. You know originally it was the deteriorated rail track, which meant that the cars have to slow down significantly, they did a lot of work on those tracks prior to winter. When winter sets in what we were anticipating based upon conversations with the railroads that the track will basically firm up because of the frozen ground and we could pretty much expect normal deliveries but that hasn’t happened, there been a number of issues that the railroads have talked about mines, issues with mining, labor, what have you, but most recently they’ve mentioned that there is more to demand than there is supply. And that’s why we’ve reported that we have to continue the look at this. I think we’ve done absolutely everything we can, working with our commissions to do that. But we need the coal from the railroads and we’re going to do everything we can to get it.
Q – Maura Shaughnessy: And setting forth your guidance for ‘06, this was known in terms of the coal inventory situation when that guidance was set. How should we think about you know there was some offsets probably the rate cases when better than expected or what have you that you didn’t materially change guidance despite the situation on the fuel side. How should we think about that?
A – Benjamin Fowke: Well, we’ve had some ups and downs, I mean the thing down mostly is whether we continue to execute on our regulatory plan and that’s what I believe drives long-term growth for us. On the coal side the thing that we’ll be watching and will be working real hard to mitigate is the potential impact it could have on ECA recovery mix, incentive mechanism in Colorado, we’ve earned pretty much at close to the top of that incentive mechanism, which is $11 million pretax over the last couple of years. The mitigation, this overall increases in coal prices, that is going to put some downward pressure on that. It’s one of several different variables.
Q – Maura Shaughnessy: Okay great, good luck.
A – Benjamin Fowke: Thank you.
Operator: We have a follow-up question from the line of Elisabeth Parrella with Merrill Lynch.
Q – Elisabeth Parrella: Just a little follow-up on the last question actually, how much did you earn under the Colorado incentive mechanism in 2005, because I thought at one point you were building in something that was fairly neutral but it sounds like maybe you did a little better than you have expected?
A – Benjamin Fowke: We did, we came out at $8.5 million, Elisabeth for ‘05.
Q – Elisabeth Parrella: Okay. And in terms of your guidance have you build-in sort of a similar amount or…?
A – Benjamin Fowke: Well the first thing is that the guidance is what we came out in the third quarter $1.25 to $1.35, which is just one of the multiple variables that we look at. I tell you the biggest sensitivity obviously is the Minnesota electric rate case and that’s the one I think ultimately swings the needle the most.
Q – Elisabeth Parrella: Okay thank you.
Operator: At this time there are no further questions.
Benjamin Fowke, Vice President and CFO: Alright, well I want to thank everybody for participating on the call this morning, look forward to meeting many of you throughout the year. As a reminder if you have any follow-up questions, Dick Kaufman and Paul Johnson will be available to take your calls. Thank you.